Operator: Good morning. My name is Lovely, and I will be your conference operator today. I would like to welcome everyone to The Chemours Company First Quarter 2024 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the conclusion of the prepared remarks. I would like to remind everyone that this conference call is being recorded. I would now like to hand the conference call over to Brandon Ontjes, Vice President of Investor Relations for Chemours. You may now begin your conference.
Brandon Ontjes: Good morning, everybody. Welcome to the Chemours Company's first quarter 2024 earnings conference call. I’m joined today by Denise Dignam, President and Chief Executive Officer; and our Interim Chief Financial Officer, Matt Abbott. Before we start, I'd like to remind you that comments made on this call, as well as in the supplemental information provided in our presentation and on our website, contain forward-looking statements that involve risks and uncertainties, as described in Chemours' SEC filings. These forward-looking statements are not guarantees of future performance and are based on certain assumptions and expectations of future events that may not be realized. Actual results may differ, and Chemours undertakes no duty to update any forward-looking statements as a result of future developments or new information. During the course of this call, we will refer to certain non-GAAP financial measures that we believe are useful to investors evaluating the company's performance. A reconciliation of non-GAAP terms and adjustments are included in our release issued yesterday. Also, we posted our earnings presentation to our website last evening. With that, I will turn the call over to Denise Dignam.
Denise Dignam: Thank you, Brandon, and good morning, everyone. I'm going to start this morning by talking about our overall performance and dive more deeply into TT. Then I'm going to turn the call over to Matt to cover our segment level performance as well as our balance sheet and liquidity position. I'll then provide our outlook for the second quarter and spend some time on TSS, because I received a lot of questions from many of you on this business during our recent meetings. We'll then close with your questions. Let's start with our first quarter performance. Our TT segment met our top line expectations for the quarter. Adjusted EBITDA for TT was better than expected for 3 primary reasons. First, our actions to allocate TiO2 volumes to higher yield regions, second, more favorable than expected timing of lower cost or consumption, which we anticipate will shift mostly to the second quarter and third, our transformation plan continuing to produce strong results. Our APM and TSS segments both performed in line with our expectations for net sales and adjusted EBITDA for the first quarter. The economically sensitive end markets served by APM began to show some signs of a modest recovery during the quarter. TSS in addition to benefiting from traditional seasonality across the refrigerant's product portfolio continue to leverage its advantage in Opteon stationary blend to support the transition to low GWP solutions in connection with the recent incremental regulatory step downs in the U.S. and Europe. In these regions, TSS also experienced the continued trends in opt in demand for aftermarket automotive solutions in line with our expectations. Now back to TT. We have not seen our order book velocity at these levels since the third quarter of 2022 and we are seeing early signs of restocking. However, we have not seen a market catalyst such as a decrease in interest rates, improvement in residential building or an increase in auto production. Digging into the first quarter, in the most basic terms, we made purposeful choices in terms of production and volume allocation. As we finished 2023, we did not see appreciable improvement in the market and we remained appropriately conservative with our production plans. First, we made the decision to not chase volume in low value markets. Instead, we allocated TiO2 volumes to higher yield end markets. While our pricing through the end of the quarter is lower than the prior year, we've been able to retain stronger overall pricing relative to the market. As referenced, this pricing position helped us drive improved earnings as we exited the first quarter. Second, we consumed a higher concentration of lower cost ore including from our own mines, which contributed to our profitability. And third, as previously disclosed, we pulled forward previously planned second quarter maintenance to ensure we are well-positioned for an eventual market recovery. Once we completed this maintenance, we brought the plant back online and its performance has never been better. Consistent with what I shared in our last earnings call, we have seen our order book velocity improve and have increased production across our manufacturing circuit. This supports our expected growth in TT in the second quarter. Now let's take a step back and look at our transformation plan from a wider lens. The main objective of our plan is to secure our long-term leadership position by becoming one of the lowest cost TiO2 producers globally. Our initial focus was twofold. First, optimizing our manufacturing circuit to drive higher production efficiency. This started with the closing of Kuan Yin and redistributing production across lower cost manufacturing sites in North America without sacrificing product quality or reliability. This has been a clear success. Second, driving improved productivity from our mining operations and better utilizing that feedstock in our TiO2 production. To date, our mining performance has shown significant improvement with the consumption of our own ore feedstock improving to nearly 15% from less than 10% in late 2023. The meaningful progress that we are making on cost savings is clearly evident in the first quarter results. Our actions more than offset the decline in local price year-over-year. Overall, since we announced the TT transformation plan in 2023, we have eliminated approximately $90 million of operating expenses. $50 million of this was in the latter half of 2023 and another $40 million in year-over-year cost outs were realized in the first quarter of 2024. For the full year 2024, we are well on our way towards our cost out targets of $125 million. Now, I'll turn things over to Matt to dive more deeply into the results.
Matt Abbott : Thank you, Denise. Good morning, everyone. Our consolidated net sales for the first quarter were approximately $1.4 billion, compared with net sales of $1.5 billion for the same period in 2023, primarily reflecting a 6% decrease in volumes in APM and TSS and a 5% decline in price across all three businesses. Consolidated adjusted EBITDA decreased 37% year-over-year from $304 million to $193 million. This decrease was primarily driven by demand weakness combined with lower cost absorption in APM and a slower start to 2024 in TSS, partially offset by the cost out actions in TT that Denise just mentioned. This decline in consolidated adjusted EBITDA also includes a $5 million unallocated item related to third-party costs associated with the TT transformation plan. We expect this amount to recur quarterly for the remainder of the year. Consolidated net income was $52 million compared with $145 million in the prior year quarter. Net income per diluted share was $0.34 compared with $0.96 in the prior year quarter. Our corporate expenses were $55 million in the first quarter of 2024, a $10 million increase versus the prior year quarter and approximately $25 million lower than expected. Some of the costs related to the outcome of the Audit Committee's internal review and the company's remediation of material weaknesses were lower than we forecasted. The costs related to these efforts approximated $14 million during the first quarter, while other anticipated expenses moved into the second quarter. Adding to this, the first quarter further benefited from lower stock based compensation expenses, driven by lower overall achieved performance and the negative discretion exercised by the Board of Directors on former executives' compensation. Finally, the company recognized lower than anticipated environmental remediation expenses in the first quarter due to timing of planned work. We expect corporate expenses to be higher in the second quarter by approximately $15 million to $20 million sequentially. This range primarily reflects a normalization of expenses associated with the company's long-term incentive plan and environmental remediation costs. Additionally, the company anticipates expenses related to the remediation of our material weaknesses and other recommendations arising from the Audit Committee's internal review will be relatively flat quarter-over-quarter. We anticipate there may be additional costs related to the remediation of material weaknesses over the balance of the year. Turning to our business segment performance starting with TT. In the first quarter, TT net sales decreased 7% year-over-year to $588 million. This decrease was primarily driven by a 7% decline in pricing with volume and currency remaining relatively flat. Price decreased versus the prior year period as index based pricing contractual stability was more than offset by decreases in the market exposed customer portfolio. Volumes were flat when compared to the prior year quarter with strength in the Asia Pacific and EMEA regions offsetting weakness in North America and Latin America. TT's first quarter adjusted EBITDA was flat at $70 million versus the prior year quarter. Adjusted EBITDA margin improved 100 basis points to 12%, reflecting the impact of a decrease in price more than offset by the cost savings realized from the TT transformation plan. On a sequential basis, net sales decreased by 10%, completely driven by a decline in volume. Adjusted EBITDA increased by 9% versus the prior quarter, primarily driven by the referenced actions to allocate volumes to higher yielding regions and the timing of lower cost or consumption. Moving now to our TSS segment. For the first quarter, TSS net sales were approximately $449 million down 8% from the first quarter 2023. This decrease was the result of a 6% decrease in volume and a 2% decrease in price with currency impact flat. The volume decrease was primarily due to lower demand in the foam, propellants and other product portfolio. While volumes in the overall refrigerants product portfolio remained relatively flat, we did observe weaker demand in the automotive OEM market in line with market expectations. This was partially offset by increased demand for Opteon products in stationary end markets, driven by the regulatory transition to low GWP solutions. The year-over-year price decrease was primarily driven by weaker legacy refrigerant pricing influenced by higher market inventory levels. We anticipate these legacy refrigerant inventory levels to remain elevated throughout the remainder of the year. Contractual pricing declines in the Opteon auto OEM market contributed to this decline. This weaker refrigerants product portfolio pricing was partially offset by stronger Opteon blends pricing consistent with stronger stationery demand. First quarter adjusted EBITDA for TSS decreased 18% year-over-year to $151 million with adjusted EBITDA margin down 4 percentage points to 34%. These declines were driven by the decreases in sales, volume and price as well as ongoing investments in immersion cooling and next generation refrigerants. On a sequential basis, net sales increased 20%, with volume and price increasing 15% and 5%, respectively. This increase reflected the seasonal strength across the refrigerants product portfolio, partially offset by the softer volumes in the foam, propellants and other products portfolio due to its exposure to construction markets, which remain weak. Now turning to APM. APM's first quarter 2024 net sales were $299 million a 23% decrease compared to the first quarter of 2023. This decrease was primarily driven by an 18% decline in volume, a 5% decrease in price, and flat currency impact. The volume decrease was primarily due to weaker demand in more economically sensitive and non-strategic end markets and the tail impact of a previously disclosed extended maintenance outage during the fourth quarter of 2023, which remains resolved. Price decreased primarily due to mix and softer market dynamics compared with the prior year. First quarter 2024 net sales for the Performance Solutions product portfolio were $113 million down 22% versus the prior year quarter. First quarter 2024 net sales for the Advanced Materials product portfolio were $186 million, down 24% versus the prior year quarter. Adjusted EBITDA for APM was $30 million a 64% decline year-over-year with adjusted EBITDA margin down 12 percentage points to 10%. These declines were primarily the result of the decrease in sales price, lower volume that drove lower fixed cost absorption and the impact of a now completed extended maintenance outage, partially offset by lower input costs. On a sequential basis, APM net sales decreased 8% with a 1% decrease in price, an 8% decrease in volume and a 1% favorable currency impact. From a product portfolio perspective, net sales declined 3% in the Advanced Materials and 16% in Performance Solutions, primarily driven by ongoing demand softness in the more economically sensitive end markets in the Advanced Materials product portfolio and specific product lines within the Performance Solutions product portfolio. The Performance Chemicals and Intermediates business in the company's other segment had net sales and adjusted EBITDA for the first quarter of 2024 of $14 million and $2 million respectively. Turning now to our balance sheet and liquidity position. As of March 31, 2024, our consolidated gross debt was $4.1 billion. Our liquidity position was $1.6 billion, which included $746 million in unrestricted cash and cash equivalents and $853 million in revolver capacity net of outstanding letters of credit. We did not draw on our revolver during the quarter. Our net leverage ratio increased to 3.7x. We also maintained $607 million in restricted cash and restricted cash equivalents, primarily held in the Water District Settlement Fund for the terms of the U.S. Public Water Systems settlement agreement that we have discussed before. We anticipate that we will no longer maintain our reversionary interest in this fund under the terms of the U.S. Public Water District settlement agreement in the second quarter of 2024. When we relinquish our interest in this fund, we will also remove our current outstanding liability under this settlement. The total amount of this settlement was fully funded in Q3 of 2023 and requires no additional funding from unrestricted cash to meet this obligation. Our operating cash flow during the first quarter came in slightly better than expectations with the use of cash from operations of $290 million. Capital expenditures were $102 million in line with our expectations, and we paid out $37 million in dividends to shareholders. As a reminder, outside of the net working capital timing actions disclosed in our Form 10-Q, we have a historical pattern of seasonality when it comes to operating cash flow due to the timing of sales and inventory. For the remainder of the first half of 2024, we expect unrestricted cash and cash equivalents to remain relatively flat. And then we expect a working capital source of cash in the second half of the year as we sell product from inventory and collect receivables from our customers. In terms of our capital allocation, I wanted to take a moment to reiterate that we are focused on taking a balanced and disciplined approach to how we allocate capital. Our current strategy focuses on the following areas: one, selectively invest in organic and inorganic growth to enhance our portfolio, two, resolve contingent or accrued liabilities on terms and basis deemed to be in the best interest of the company and our stakeholders, three, maintain appropriate leverage and four, return cash to shareholders. Last, I would like to note that we continue to work on our remediation of the 4 material weaknesses disclosed in our annual report on Form 10-K. We are devoting substantial resources towards the implementation of enhanced procedures and internal controls over financial reporting. We have established a project management office to monitor progress and we have also engaged several professional services firms to assist in the execution of a comprehensive remediation plan. We have updated our disclosures around our remediation progress in Item 4 of our recently filed Form 10-Q and will continue to provide updates in our future SEC filings. With that, Denise, back to you.
Denise Dignam: Thank you, Matt. Let's turn to our outlook. For now, we're going to continue to provide an outlook for the quarter ahead. On a consolidated basis, we expect net sales to increase approximately 15% sequentially in the second quarter with consolidated adjusted EBITDA growing in line also up approximately 15%. We expect TT to achieve sequential net sales growth in the range of 15%, reflecting the strength in our order book. Although we haven't observed a broad level market catalyst, we have seen some slight seasonal demand strength in limited end markets and in some regions. We anticipate adjusted EBITDA for TT growing in line with the sequential increase in net sales. The growth will be supported by higher volumes and improved fixed cost absorption. However, this will be partially offset by the timing shift of higher cost or consumption from the first quarter to the second quarter. We expect TSS to grow sequentially in the mid-teens for both net sales and adjusted EBITDA driven by both seasonality and elevated demand for Opteon products. The projected sequential growth for adjusted EBITDA incorporates a modest offset from higher input costs from non-Corpus Christi source materials to service demand growth as well as lower fixed cost absorption on our legacy refrigerant production. It also includes continued investment in next generation refrigerants and emerging cooling. We anticipate these R&D investments over the year to be approximately $15 million. Finally, we anticipate APM net sales to grow in the low-teens sequentially, driven by the Performance Solutions product portfolio. We expect a slight improvement in performance across the Advanced Materials product portfolio, reflecting the modest recovery that I mentioned earlier in some of our economically sensitive end market. We also anticipate adjusted EBITDA increasing close to 30% sequentially in APM as mixed and fixed cost absorption improve as volume increases. As I mentioned in my opening, I received a number of questions on TSS during our recent investor meeting, so I wanted to spend some time diving deeper into this business. We've also incorporated several slides in our earnings supplement that provide some additional details. So let's start with a few of the basics. TSS consists of 2 different product portfolios: first refrigerants and the second is foam, propellants and other or FP&O. Our refrigerants product portfolio covers thermal management solutions for end markets such as mobile and stationary air conditioning for residential, commercial and industrial applications. Our FP&O product portfolio covers end markets such as foam blowing agents and propellants, including pharmaceutical grades. Approximately 80% of our overall TSS business is concentrated in North America and EMEA. Many of our products across both of our refrigerants and FP&O product portfolio utilize low global warming potential or GWP technologies, most notably our Opteon brand and our HP 152a propellant. This is important because our TSS business is closely tied to the regulatory transitions established under the Kigali Amendment to the Montreal Protocol and more directly impacted by the EU F-Gas Regulation and the U.S. AIM Act. These regulatory actions are the catalysts driving the transition to low GWP solutions that is currently underway. Our refrigerants product portfolio is most directly impacted by the regulatory transitions and it makes up about 80% of our TSS sales. In terms of markets, our low GWP Opteon products are growing in automotive applications initially through OEMs and then to the auto aftermarket using a pure Opteon YF solution. Our refrigerants product portfolio also provides an Opteon Blend solution for our stationary air conditioning and commercial refrigeration applications. Opteon Blends reflect the combination of our Opteon products and certain legacy refrigerants for new and retrofit applications. This product portfolio also includes legacy refrigerants, although they are declining in our overall mix due to the regulatory driven transition towards Opteon low GWP solutions. On a trailing 12-month basis, through the first quarter of 2024, our low GWP products make up approximately 80% of our overall refrigerants volume in EMEA and 30% of our refrigerants volume in the U.S. This compares to 70% and 25% respectively on the same basis a year ago. We anticipate this mix will continue to shift as additional step downs occur later in the decade. This is driven by the regulatory transitions taking place in key end markets in the U.S. and in the EU and of course our strong suite of patents protecting our Opteon solutions. We are supporting the continued regulatory transition in these regions through our investment in the expansion of our Corpus Christi site, which will provide a 40% increase in capacity for Opteon. I'm happy to share that this expansion is on plan to be completed during the fourth quarter of this year, and we will start up production in early 2025. We are taking other actions to realize growth opportunities in TSS outside of those being driven by regulation. For example, we announce the expansion of our production of Opteon low GWP Foam in late 2026 continuing to secure our position in the attractive end markets that we serve. Another example we shared last year is around the development of our new specialty fluid for 2 phase emergent cooling. With anticipated commercialization in 2026 subject to regulatory approval, this is a game changer for how computing hardware will be cooled in the future. This is especially true given the trend shifting from CPU to high-powered GPU computing. The growth of data centers isn't going away and it is unsustainable without better and more efficient cooling solutions. Our 2 phase emergent cooling technology outperforms single phase emergent cooling and direct to chip technologies with superior thermal efficiency to meet the higher-powered computing needs of today and the future. Let's talk first about how this solution works. It is 2 phase and immersion, because the solution efficiently cools the computer hardware in the fluid and not just the chips, but all immersed components. It then transfers the energy by vaporizing the liquid to produce a gas that hits a cold condensing plate and returns to a fluid form. The evaporative cooling of our 2 phase emergent cooling liquid provides superior heat removal compared to single phase chemistry, chemistries where energy removal is limited by liquid phase heat transfer. The solution is low maintenance and requires a simpler infrastructure as chillers or evaporative coolers are not required. Importantly, if the submerged hardware needs to be serviced or replaced, it requires little to no cleaning, because the cooling fluid sheets off the equipment as it's lifted out. Lastly, our emergent cooling solutions does not corrode hardware, which was a key concern of customers with alternative liquid cooling products. If you haven't seen the technology in action, have a look at the brief video on our investor website. Now let's look at some of the significant benefits of the solution. It allows the reduction of required footprint for data center facilities by an estimated 60%. It delivers cooling energy savings of up to 90%. And it is projected to nearly eliminate water usage. These benefits are groundbreaking for the data center industry when compared against current air-cooled systems. Some of you have asked about whether the designation of these products as PFAS is an issue and the answer is it shouldn't be. I say this because of the following: one, the environmental concerns some have raised over 2 phase immersion pooling can be mitigated. And let's not forget, the solution itself brings significant environmental benefits in terms of energy and water usage. Two, these systems are designed to be closed loop, sealed systems and the materials used must be manufactured under the highest standards. Not only do we support rigorous environmental testing based on science based regulation, but we also support manufacturing standards through our responsible manufacturing commitments. Three, let's be clear. The cooling alternatives used today, including air-cooled data centers or newer liquid cooling technologies such as direct to chip or single phase emergent cooling, use fluorinated chemistries. Regulatory classifications of these chemistries will differ by country and region. The bottom-line is this. We believe our 2 phase emergent cooling will be unmatched as a sustainable solution that addresses some of the major technological barriers to the next generation computing and the data centers needed to enable it. We're currently sampling this technology with key partners across the value chain, including hyperscalers, server and chip manufacturers, and we are seeing strong interest in our solution and its benefits. It's innovations like immersion cooling that provide us with the opportunity to build upon our leadership position in the industry and support our mid to high-single-digit growth potential through the end of the decade with adjusted EBITDA margins averaging 30% or greater. In closing, our focus continues to be on the two clear priorities that I shared on our last call. One, take cost out in APM building on what we have done in TT as well as our functional and corporate overheads. Two, invest in our businesses where we have significant opportunities to grow. Both of these priorities supported by ensuring we are living our values each and every day. Lovely, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Duffy Fischer from Goldman Sachs.
Duffy Fischer: First question, we're getting a lot of incomings just around the guide. So first, the guide you gave last quarter, basically 2 working days left in the quarter and you walked us to 160 came out at 193. So just how can the gap be that big? Are you confident in like your reporting systems that you're getting the right numbers and timely? And then second on that, the guide for this quarter, what would you call kind of one time in there as we use this quarter's guide as a bridge to move forward? I think about things like the internal review cost, does that naturally go away as the year progresses? Are there anything else, that gets meaningfully better that we can identify today?
Denise Dignam: So I'm going to start it off. And relative to the difference in the EBITDA versus our, what we discussed at the last earnings call. There's really two primary reasons. One of them is related to our, the shift in our ore cost. And the second one is related to changes in the corporate costs, which I'll have Matt talk about. But just first talking about the shift in ore. One of the things to highlight about our competitive advantage and how we run our circuit is. We have ability to run a very, very wide variety of ores. And we can change that whatever we're running really day-to-day. And you can look at a given plant site and you could say you could be running 7 different ores in a day, different blends. And we change that based on what our production needs are, what plants are running. So it's actually pretty complicated. But I'm going to turn it over to Matt to talk about what is the process for understanding these costs and why that was a change versus what we shared with you in the last call. And then he can also talk about the corporate charges and the guide to the one time.
Matt Abbott: Yes. So I think on the ore cost, so as Denise said, the business is making supply chain optimization decisions all the time. And so as we think about the books, we close our books monthly. And so we typically get actual cost of manufacturing data in the early part of the subsequent month for the month that we're reporting on. So for March, obviously early April is when we started to get that actual data. We close our plants in SAP and run the material ledges on that monthly cycle. We don't close more frequently in that and so our ERP unfortunately doesn't give us that sort of near real time visibility to some of the costs that are coming through and some of those supply chain decisions. So for favorability coming through in the latter part of the quarter and in March, it was really April that we saw the full extent of that. Otherwise, we're operating with some estimates and given some of the variables there, those are quite complex estimations to work through. On the corporate side, it was really a couple of things. The internal review as I mentioned, those costs are around 14 in the quarter. We expect those to continue like that in the second quarter. And then we had some favorability in environmental and the incentive compensation in Q1 that we don't expect to be the same in the second quarter.
Duffy Fischer: And then maybe as a follow-up, in TT, I think last year, the last comment I remember is you were running about 70% on contractual business, and you would think with PPI that number those contractual contracts would be up in price this year. Price for you guys was down 7%. So is there a meaningful shift to the amount of your sales that are on contract this year versus last year? And is the implication that the non-contractual stuff is down, if you just do the math like almost 20% to make up for what on the contractual side should be flattish to up?
Denise Dignam : Relative to TT and pricing, you're correct that approximately 70% of our business is contracted. The majority is through PPI and there is a lag in our contracts when that change is made in pricing. We also have a portion of that contracted business, which is negotiated. And those prices can change quarterly every 6 months. So there is a blend there as well as we have our more market exposed channels in distribution and in our flex channel. But the one thing I want to kind of draw your attention to is that we just can't look at deltas in pricing. I think, I just encourage you to look at absolute level of pricing. And I think what you'll see is that we really are market leaders when it comes to pricing. And feel really good about how we have managed price through this down cycle.
Operator: Our next question comes from John McNulty from BMO Capital Markets.
John McNulty: So a lot of moving parts in TSS this year with some of the HFC kind of destocking and refrigerants and you've got this big expansion project in the back half of the year as well. I guess, can you help us to think about the trajectory of TSS and its earnings as we progress through the year? And is it going to be the usual seasonality in terms of how it kind of ebbs and flows up in the middle and then back down in the back half? Is it a little bit different this time? I guess, can you help us to think about what would be kind of, what to expect on it this year versus kind of normal?
Denise Dignam : There's a couple of things that I can talk about. We're not going to give a guide for the full year, but I will say what we see for the year is we do see high levels of HFC inventory, but we do see also the growth as we talked about before mid to high-single-digits through the end of the decade with the regulatory, the technology transition, we see probably for the stationary side of the business more towards the mid-single-digits on that growth. So what I would say is just kind of stick to our long-term trajectory. This is a super critical and valuable portfolio for us and we're investing for the future. We see over the long-term continued growth, a decade of growth through the rest of the decade and over the 30% margins to persist.
John McNulty: So just so I'm clear expect that you should be able to hit the middle or the lower end that mid-single-digit target for even this year in terms of growth. Is that right? Did I understand that right?
Denise Dignam : Yes. You understood that right.
John McNulty: And then just the follow-up would be on the TT business. So obviously the low cost doors and then I guess high cost in 2Q make things a little bit lumpier than I guess we've seen in the past and it seems to have kind of eaten up at least in 2Q a little bit of the operating leverage in this business. I guess, how should we think about that going forward? Is it going to be a more continual kind of lumpy period or is this just kind of one piece that we work through and then back half of the year you're kind of back to lower cost ores, lower cost of inventory that you're working through and improve profitability? I guess how should we be thinking about that?
Denise Dignam : I think I would go back to what I had said earlier, John, is that a way to think about it is we make changes every day really on our ore blends and what production we're running. I think it really evolves as the market evolves for the year and again how we run our plants. So it's a key. I really can't give you any more clarity around that for the rest of the year other than we're going to make the best decisions as we run our plants and what ores we use as we run our facilities.
Operator: Our next question comes from Josh Spector from UBS Financial.
Josh Spector: I wonder, if you just talk about TiO2. I know you don't have a full year guide here, but as you ramp your capacity, can you bring on more volumes into 3Q?
Denise Dignam : Yes. I mean, we have the capability to bring on more volume for sure. I'm not sure, Josh. Is there a follow-up question to that?
Josh Spector: I guess the other piece I'd ask to follow-up is just as you think about TSS margins longer term here, you're talking about growth in 2 phase and other markets. What about another corpus expansion? Since it seems like that margin delta versus your JV is quite large, should we expect an investment there and what would be the timeline?
Denise Dignam : I would say, when we look at expansions, we're always trying to evaluate what's the right decision whether we build ourselves or we build with a partner. We've not yet made any decision on future additional capacity. We're really focused on this 40% expansion and then we'll, as things progress and we make decisions, we certainly will share those.
Operator: Our next question comes from Arun Viswanathan from RBC.
Unidentified Analyst: This is Adam on for Arun. Thanks for taking my question. If we were to look out the curve a little bit in TSS, assuming a reasonable market recovery by the time some of those 2 phase products are commercialized. What do you think the earnings contribution could be? Or that is to say, what do you think potentially mid cycle EBITDA could be for TSS a couple of years out?
Denise Dignam : I would say we're committed to the long-term trajectory. The mid to high-single-digit growth through the end of the decade and the greater than 30% margin. This is a disruptive technology and we're going to have new capacity that comes on in 2026. So it is difficult to say. This is a large market and we're talking about a $3 billion TAM. It's a pretty diverse ecosystem. There's going to be lots of technologies. Our technology, we believe, has the best value proposition. So we believe we're going to be a very sizable participant, but it really depends on how quickly it evolves. Again, we're going to have commercial capacity in 2026, a little bit hard to project that going out much farther, Adam.
Unidentified Analyst: And maybe more short-term, I know you guys have a big outflow of some of the restricted cash coming this quarter. I think it was something on the tune of $600 million. Is that most of the remaining outflows for this year? And how much of that restricted cash could we expect being like baseline level going forward?
Matt Abbott: So, yes, we do expect that restricted so the restricted obviously, the fund was funded in 2023, right? So from an accounting perspective, it's sitting there as restricted cash. Following the final judgments, you'll see that flow through the cash flow statement here in the second quarter. As we look out, we will continue to do our fundings to the MOU fund under the terms of the MOU with the other parties. And then from an overall cash perspective, as I indicated, we think we'll be sort of flattish to the midpoint of the year and then we expect a source of cash rather as we go through the second half of the year.
Operator: Our next question comes from Mike Leithead from Barclays.
Denise Dignam : Hi, Mike. Do you have a question?
Operator: Our next question comes from Hassan Ahmed from Alembic Global Advisors.
Hassan Ahmed: Question on TT. I know there are a bunch of moving parts and uncertainty and the like with regards to the European Commission's investigation on antidumping. But could you just broadly talk about potentially what the opportunity could be, if those antidumping measures are indeed go through in Europe.
Denise Dignam : So first of all, I guess what I want to say is we are really focused in TT on controlling what we can control and working towards taking a long-term view of being one of the lowest cost producers. We really, you can see in our results the benefit of our TT transformation plan and that work continues. I think that depending on what happens there could be some share shift. Again, it might be transitory depending on what happens with the antidumping case. But again, we're just focused on what we can control, making sure that we can compete in any environment and being low cost. As well as being phenomenal partners with our customers. We need to be reliable suppliers and then have true partnership.
Hassan Ahmed: And a question around the guidance. I'm obviously cognizant of the fact that you're not giving full year guidance. But you guys did $193 million in Q1 EBITDA and you're guiding to around $222 million in Q2. Obviously, there are a bunch of moving parts, seasonality, in terms of a headwind, but tailwinds wise maybe an economic recovery, cost cutting and the like. But if I were to just assume for a second that there really is no recovery and you guys really don't benefit that much from cost cuts. And I just straight line the $222 million for Q3 and Q4, I get to like roughly an EBITDA of $860 million for the full year. Clearly, there is going to be some sort of recovery. Clearly, you guys are going to benefit from cost cuts and the like. So, is it just fair to assume that at the very least, you'll do $900 million in EBITDA in '24?
Denise Dignam : As I said, I'm not going to give guidance for the full year. But I think going back to your point, I mean, certainly we're going to see benefits to our cost cuts. We've already seen that dramatically in TT and we're going to continue that focus. And again, we're going to control what we can control. The market is going to do what the market is going to do. We are in every one of our business. We're leading players in those markets. Whatever happens in the market, we'll participate in. We'll do the right make the right business decisions and continue to drive our productivity.
Operator: Our next question comes from Mike Leithead from Barclays.
Mike Leithead: I wanted to maybe, reask Hassan's question a bit differently or succinctly. Should 2Q be the peak of net leverage? Or how should we think about your leverage profile as we work through the second half?
Matt Abbott: No, I think, similar to that question earlier, I think we're at 3.7 now at the end of the first quarter. We think cash will be flattish as we approach the midpoint in the year. And then normal seasonality will kick in at that point and we expect to see a source of cash through the second half. So we think it will trend back more favorably in the second half. And then over the longer term, we aim to be around 3 times. That's our goal.
Mike Leithead: Is that fair to assume we'll probably finish the year above 3 times just given where earnings and cash flow are looking today?
Matt Abbott: Yes. We're not giving that full guide for the year, but it will be somewhere between 3 and where we are now.
Operator: We have our next question from an Analyst from Morgan Stanley.
Turner Hinrichs: This is Turner Hinrichs on for Vincent Andrews. I'm wondering if you could provide a little bit more color on Chinese TiO2 exports and what you're seeing in the region in terms of local production and demand.
Denise Dignam : Yes. I think the export data is pretty visible to the market. Year-over-year, there's a 10% increase quarter-over-quarter. It's lumpy, and certainly you can think about the EU dumping case as some of the driver for that increase here in March. But again, just going back to big picture, we're leaders in this market. We're focusing on what we control, driving to low cost position and making sure we can participate in the long run. Again just leaning to, we have very, very strong customer’s relationships. So we're driving to low cost, so we can participate in market, but there's more to serving customers in around the relationships and supply reliability and quality where we really are second to none.
Turner Hinrichs: Would you mind providing a little bit additional color on U.S. export versus domestic demand and the potential for tailwinds from restocking?
Denise Dignam : Turner, can you ask that question again?
Turner Hinrichs: Would you mind providing a little additional color on U.S. export versus domestic demand and the potential for any tailwinds from restocking?
Denise Dignam : Yes. I mean, I would just say is we're seeing the restocking. That's really what we're seeing going into the second quarter. Again, we haven't seen any market catalyst, whether think you're talking about interest rates or residential homebuilding things like that. So we think that the volume that we're seeing is relative to restocking.
Operator: We have reached the end of our question-and-answer session. Thank you for joining the Chemours first quarter 2024 results conference call. You may now disconnect.